Operator: Good afternoon, ladies and gentlemen, and welcome to AIXTRON's Conference Call regarding the Q3 2023 results. At this time, all participants have been placed on a listen-only mode. The floor will be open for your questions following the presentation. Now, I hand the floor over to Guido Pickert, VP Investor Relations at AIXTRON for opening remarks and introduction.
Guido Pickert: Thank you, Faguna. Welcome to AIXTRON's presentation of our first nine months of 2023 and third quarter 2023 results. I'd like to welcome our CEO, Dr. Felix Grawert and our CFO, Dr. Christian Danninger. As the operator indicated, this call is being recorded by AIXTRON and is considered copyright material. As such, it cannot be recorded or rebroadcast without permission. Your participation in this call implies your content to this recording. Please take note of our Safe Harbor statement, which can be found in our results presentation slide deck as it applies throughout the conference call. This call is not being immediately presented via webcast or any other medium. However, we will place an audio file of the recording or a transcript on our website at some point after the call. I would now like to hand you over to our CEO, Felix for opening remarks. Felix?
Felix Grawert: Thank you, Guido. Let me also welcome you all to our results presentation. I will start with an overview of the highlights of the quarter and then hand over to Christian for more details on our financial figures. Finally, I will give you an update on the development of our business and on our full year guidance. Let me now give an overview of our operational highlights, Q3 2023 on slide 2. Order intake in Q3 was at €118 million. Like in the past year, Q3 was lower than Q2. We expect, nevertheless, very strong orders in Q4, and so we are well on track to realize our full year guidance, all backed up by specific customer projects. The demand for white banca power electronics, again, drove our orders with GaN power having been slightly stronger than SiC power in Q3. Our latest member of the G10 family, the G10-GaN was launched in September and perfectly complement our G10-ZiC [ph] as well as our G10-AsP. Our all new product portfolio is being greatly perceived by our customers. Our Q3 2023 revenues of €165 million was up 86% year-on-year reflecting the high demand for our system. Revenue-wise, we are also well on track to achieve our annual guidance. The situation around export licenses is continuing to work. However, the process as such, generally takes a bit longer than in the past. Overall, we continue to see strong demand from our customers without any sign of structural weakness. Our equipment order backlog remains to be very solid at €386 million. Now I will hand over to our CFO, Christian Danninger. He will take you through the Q3 2023 financials. Christian?
Christian Danninger: Thanks, Felix, and hello to everyone. Let me start with the financial highlights of our income statement on slide 3. Orders were lower this quarter. But as Felix mentioned, we remain well on track to achieve our annual guidance with a very strong Q4 ahead of us. This underpins our view on continuous strong demand from our customers. Revenues at €165 million were up 86% compared to €89 million last year and we are well on track to achieve our annual guidance here as well. Gross profit in Q3 2023 was at €76 million, up 94% year-on-year. EBIT for the quarter was at €45 million, up by 180% and net profit at €40 million more than doubled year-on-year. Gross margin was at 46% compared to 44% the year before, driven by an improved product mix. OpEx in the quarter went up to €31 million, predominantly driven by higher R&D spending compared to the previous year. Now to our balance sheet on Slide 4. Inventories at the end of September increased to €381 million from €224 million at the end of 2022, as we are preparing for very high expected shipments in the coming quarters. Trade receivables at the end of September were €107 million compared to €120 million at the end of 2022, mainly being a result of the recent business volumes in comparison to the very high business volumes at the very end of 2022. The advanced payments received from customers at quarter end were €125 million, representing about 34% of our order backlog just like in the last quarter. Our cash balance, including other current financial assets as of September 30, decreased to €210 million from €325 million end of last year. This was mainly due to the mentioned inventory buildup in combination, of course, with our dividend payment of €35 million earlier this year. Out of our quarter end cash balance, €133 million were invested into funds, where we continue to follow a very conservative diversification strategy. Just a quick word on free cash flow. On the next slide, before I turn back to Felix. Free cash flow in the first nine months was negative €82 million compared to €20 million last year, mainly due to the previously mentioned buildup of inventories to prepare for the very strong output in the quarters to come. And with that, let me hand you back over to Felix.
Felix Grawert: Thank you, Christian. Before giving you some more details on our reiterated guidance for 2023, I would like to share with you some highlights of our new tool generation. As stated at the very beginning, we continue to see very strong momentum for our products. This is also owed to the fact that we now have our new generation of tools out in the market and those tools are being very well received by our customers. The G10 family of products marked a very important milestone to our growth path. All members of the G10 family offer a significant step in terms of performance, both particle performance and uniformity performance. At the same time, these products offer a step forward in terms of productivity that is in wafer output per month and in terms of wafer output per cleanroom area. This allows our customers to realize their volume ramps with the most efficient tools for high-volume manufacturer. With that, our customers can address more and more market segments with compound semiconductor be it in the area of power electronics or in the area of optoelectronics and display. In the past quarter, we have launched our G10 GaN, as the successor of the market-leading G5 plus tools. The G10 GaN has been designed to support the high-volume ramp of GaN power electronics. The G10 GaN allows the separation of the support infrastructure from the process relevant part of the equipment, which means that the pumps and power supplies can be located in the gray room, whereas only the process critical component will have to be situated in the cleanroom. With this, three process modules can be attached to one wafer handler, such that the G10 GaN can offer more than 2x the wafer output for clean room space. In addition, the G10 GaN offers a big step forward in terms of uniformity and particle performance. We have further refined the carrier design and temperature control. And based on this, we can achieve a large improvement of uniformity in thickness and composition for the critical layers. Supported by these improvements, we get very strong demand from customers for the G10 GaN. Many of our existing high-volume customers have switched from the G5 + to the G10 GaN as soon as the new tool became available, such that in 2024, the year right after the launch we already expect more than 50% of our GaN tool shipments to be the G10 series. With the G10 GaN, we are also convincing a new customer that has not been producing on Planetary technology to choose AIXTRON as their equipment better. Also for the G10 SiC, our new tool for the silicon carbide material system, which we had launched last year, we received a continuous strong flow of orders. From all our existing high-volume customers, we have received repeat orders in the past quarter, and we have strengthened our competitive position by making further progress in terms of uniformity performance. We are now achieving uniformities on par with, and in some cases, better than single wafer tool. In 200 millimeter, we have reached this already earlier. And in the past quarter, we have fully closed the uniformity gap also in 150-millimeter wafer size. Based on this, we can now fully focus on the advantage of our Planetary Reactor on productivity and cost. The batch offers inherent advantages in these two dimensions, and we continue to win new accounts for our technology. This will turn into revenue in the quarters to come. Last but not least, with our G10 AsP, the last member of the G10 series, we win new customers, and we are seeing customers switching over from the proven G4 platform to our new G10. Here, our customers can produce the most sophisticated laser in volume, be it for optical datacom or for upcoming LiDAR applications as well as high-quality micro LEDs for future display applications. The platform is the only fully automated MOCVD system for advanced gallium arsenide and indium phosphate-based materials, and comes with in situ cleaning and the Smith interface, which is common and highly automated production environment, both enabling ultra-load defect Epitaxial layers that are needed for the volume manufacturing of these new applications at lowest cost. We can say that overall, we are very happy with the market traction that our G10 series is experienced. We have invested into a significant amount of R&D. And as of today, we expect that the return of invest is coming even faster and even stronger than expected. This confirms our strong focus on technology and innovation, which we will also continue in the years to come. In May of this year, we have announced that we will be expanding our facility in AIXTRON with a new innovation center. Last quarter, we have completed the planning for building and facilities and have received all permits and has signed up the contractors. Construction has started with groundwork ongoing. In this place, I would like to comment briefly on the export situation. AIXTRON is not affected by the tightened export controls that the US government has issued last week. With this, our business with China will continue unchanged. However, AIXTRON as well as other German equipment and industrial company is still affected by the slow speed of export license processing within the BAFA. We hear that from BAFA itself and from many other exporting companies in Germany that a temporary staffing bottleneck is the root cause for this and we hear that BAFA is working on resolving this. Again, this is an operational topic completely unrelated to the China export restrictions of the US just for clarification. With that, let me now give you the update on our reiterated full year guidance for 2023 on slide 6. As I said before, we continue to see strong momentum for our products, giving us the confidence of being able to fully reach our upgraded annual guidance in all metrics. On all metrics, we are fully on track, which is why we have reiterated our guidance as follows. We expect total orders for the year in a range between €620 million and €700 million. Our total revenues are expected to range between €600 million and €660 million. We have not narrowed the ranges of orders or revenues due to the unpredictable factor of the exact timing of export licenses and also some customer projects, as we have explained earlier in this call. We continue to expect a gross margin of around 45% and an EBIT margin in a range of 25% to 27%. With that, I'll pass it back to Guido before we take questions.
Guido Pickert: Thank you, Felix. Thank you, Christian. Operator, we will now take questions please.
Operator: I’m very sorry, my mistake. I was on mute. So ladies and gentlemen, thanks for your patience. We are now starting with the Q&A session. [Operator Instructions] So thank you for waiting, and we start with Gianmarco Bonacina from Equita. The floor is yours.
Gianmarco Bonacina: Good afternoon. Thanks for taking the question. I have a couple. The first one is on the guidance, especially on the order. So you reported $120 million in Q3 and the midpoint of your guidance is indicated -- indicating a $220 million order intake in Q4. So we are at the end of October. I understand there is a lot of uncertainty, but can we expect that you will be able to reach the midpoint of the guidance in terms of order intake? The second question is on 2024. Clearly, is early, you will provide a more quantitative guidance probably in early next year, but just given the interaction with your customers, can you indicate if you expect to grow in 2024? And let's say, on a qualitative basis, if you expect single-digit or double-digit growth. And the last one on the new tools we are introducing, so just to understand, do you expect this to be margin accretive for 2024? Thank you.
Felix Grawert: Thank you very much for your three questions. So let me just start with the first one. We definitely expect to reach our order intake guidance. This implies a very strong fourth quarter. And we expect you can do the math to achieve revenues in the fourth quarter such that it equals up to the full year range of $620 million to $700 million as we have indicated. For 2024, meaning for the next year, at this point in time, it's our policy to never give an outlook or like a quantitative number, as you've been asking for. We've never done that in the last years and also we are not planning to. However, I can confirm to you that the growth drivers that drive our business are all intact, both in terms of the market, the application as well as our market share. And with that, we look very confident into 2024, just to give you a qualitative strong indication forward already. Last but not least, you are asking for the margins realized with our new tools. Yes, of course, our new tools and support the margins. That's why also we've been invested into R&D for these new tools and let's see how it develops in the overall mix. Again, we are not giving a guidance for 2024. At some point in our February earnings call, we will give the guidance and let's see how it plays out for the total margin. But I can tell you the new tools given that they are differentiated, given that there's new features, new benefits, new customer benefits, meaning new customer value for our customers. Of course, that also reflected in the compassion.
Gianmarco Bonacina: Thank you.
Operator: And next up is Michael Kuhn from Deutsche Bank. Over to you.
Michael Kuhn: Good afternoon. Thanks for taking my questions. Firstly, I'll ask one by one. On client wins, that one is for Mr. Grawert. In the Q1 call, you said give me another two quarters to give you a more comprehensive update on client wins in silicon carbide. So the two quarters have passed and I think it would be highly appreciated if you could give us an update on that topic now.
Felix Grawert: Very happy to do so. Yes. We're continuing to gain traction. As I mentioned in the call, we have received repeat orders from all our large customers in this quarter. We have been winning new customers. We continue to see new entrants in the market. And with that, we are on a very, very good path to further expand our market share in silicon carbide.
Michael Kuhn: And on, let's say, big names, anything to mention here, or maybe an update over the next few months?
Felix Grawert: Well, we only speak about names when we have the press releases together with the customer. So, let's see whether within the next quarter, we will be able to issue one of those.
Michael Kuhn: Okay. Thank you. And then -- it's again on 2024, not really asking for early update here, but just to confirm the thinking is right here. If you deliver on your guidance, your equipment order backlog should be close to €400 million by the end of the year. I think it's realistic to assume like €100 million services sales at least into next year. But when would you have to receive orders next year to still be able to deliver them next year. So, should we still think about lead-times of nine to 12 months, i.e. order intake latest in Q1 to still get the deliveries out in the same year?
Felix Grawert: That's a very good question. We do see the supply chain situation relaxing a bit. If you recall, we were all -- the whole industry was coming out of COVID. Post-COVID, there was a global supply chain shortage in all dimensions, yes. Lots of fab construction has started, overall shortage of components, which was also the reason for us to build a big amounts of inventory. Luckily, we did because we could ship, we could satisfy all customer needs, they all customer wishes on time. That was very good. And however, we now see that the supply chain worldwide are relaxing. And with that, we are expecting to see two effects, the one effect is that the lead times will be shortening a bit. It would be for me too early to give now a quantitative indication. It's more like a trend that I give you quantitative And secondly, with that gradually, we expect also to reduce the inventories sometimes throughout 2024. Again, it's a bit too early to quantify when exactly that's going to happen just to give you a trend indication. So, through 2024, the lead-time should go down.
Michael Kuhn: Okay. Excellent. And then one more on the microLED/LED sales, relatively small numbers throughout the quarter of this year. My understanding was you didn't ship microLED tools this year. So I guess that is not the legacy tools. How do you see both the LED and the micro LED market currently and into next year?
Felix Grawert: No, we did ship microLED tools this year. It's about 10% of revenue. I'm just looking here at my numbers, yes. So, it's something, but it's not big. And we expect that to pick up next year again.
Michael Kuhn: All right. And then last question, I promised on R&D spending, surpassed €20 million in the quarter for the first time. Is that like a temporary high, or should we think about north of €20 million at a run rate now.
Felix Grawert: I think north of 20 is a good indication.
Michael Kuhn: All right. Thank you very much.
Operator: And the next question comes from Olivia Honychurch from Jefferies. Over to you.
Olivia Honychurch: Hi. Thanks for taking the question. On the Q3 order number, I know you've said not necessarily in your comments on the call, but in other conversations that may have been because you saw some customers delaying shipments temporarily in the quarter and that you'd expect a lot of those to come back in Q4. Just want to get a bit more color on what gives you that confidence that those orders will come back and drop into Q4? And linking to that, have you actually seen some of them dropping through into Q4 in 25 or so days we've already had over the quarter so far?
Felix Grawert: Exactly. That's what we are observing, yes. Some customer topics have been shifted from Q3 into Q4. And this is a funny effect, yes, because I mentioned that earlier when I was thinking about the G10 series, everybody, all our customers are currently looking at the G10 series. So we had the funny effect that the launch of the G10 series actually has been depressing the Q3 order intake a bit, yes, because we had many, many repeat customers coming. But instead of just placing the next G4 order or G5 plus order, where they have, whatever, a bunch of tools already and they know what they're getting. They said, oh, yes, this new thing. I really want to experience that. I don't want to get like it sounds so great. I don't want to just get another one of the old ones. Can I please come to the extra lab? Can I do a demo? Can I do a test of this one, yes, because maybe then I take the next one just as a new one, yes? So the launch of the new product has been pushing some orders from Q3 into Q4. So there is a bit of a backlog, yes. On the other hand, that supports the confidence we have for the Q4, yes, because these customers need new units for their production ramp and launch, yes. We spoke about the lead times just earlier when Michael was asking that question, so they do need to place the order, and that's also what supports our strong confidence in the Q4 order intake.
Olivia Honychurch: And just to clarify, have you already received some of those delayed Q3 orders in Q4, in the month of October?
Felix Grawert: Some are coming, yes.
Olivia Honychurch: Okay. That's great. On silicon carbide, you said today and I know that you said it at Silicon Carbide conference last month and month before that you're now achieving in some cases, market-leading yields with your G10, so which should help you grow your share materially? Can you talk about how exactly you've achieved that? I know in the past, you've mentioned that it was due to a design tweak. And if there's any way we can, I guess, validate that statement given that we are in a market where everyone seems to be saying that the tool is the best and that their share is growing significantly.
Felix Grawert: So, how to explain that? I would say it's another modification to the tool, let's put it this way, yes? So some new ideas played out experience in our lab tried out, verified the first rollout going on at one or two pilot customers also confirming that one. So another technical twist, so to say, to the reactor yes. Let's put it like this. Now, how can you verify that? I think the best is, at some point, you ask some customers who have it in real life, yes, and the customer confirms it to you. You probably talk also to customers of ours. At some point, there will be, again, a Silicon Carbide conference where we publish results, I think then it will also be visible or you come to our lab and see yourself. Be invited.
Olivia Honychurch: That's great. Thank you. And then finally, one more if that's okay. Just on the microLED, you said earlier in response to the question that, that should grow again in 2024, what's going to drive that, given that I was under the impression that shipments your major customer have -- will have almost completed by the end of this year.
Felix Grawert: Yeah. I mean, the good thing is that there's more than one customer, right? And we know that the research and the work has been going on throughout the industry. And we hear and probably you also here and we, of course, see it much more concretely now some customers are planning, so to say, for certain products, the first launch a decent size that we will see as a percentage of revenue, and that's what's giving us this confidence.
Olivia Honychurch: That's great. Thanks, Felix.
Felix Grawert: Sure.
Operator: And the next question comes from Andrew Gardiner from Citi.
Andrew Gardiner: Good afternoon. Thank you for taking the question. I think customers both, please. Firstly, another one on silicon carbide, you've expressed your confidence in terms of the performance of the tool and the customer feedback that you're getting feeling. I'm just wondering I was trying to sort of square the circle if it were the fact that competitors are also standing very positive. I think Olivia just mentioned that in her question as well. I -- how can we sort of square that? Do -- are you seeing this as a win to take all in terms of the customers, or are some customers actually saying, well, we've got enough of a ramp happening here that will take some AIXTRON tools and we'll take some other tools. Even though the architectures might be significantly different right your approaches are different in terms of multi-wafers. Is there dual sourcing happening on the on that front? And then I've got one on the export licensing fee.
Felix Grawert: I would say that there's two topics ongoing right now. I think the one topic is that, we see that the generation of tools to secure the revenues in the next two to three markets is going to be different companies than the ones who have realized the revenues in the last two to three years. Yes. I think that's the one trend which we are observing, yes. So there is a change on, so to say, who's receiving the new orders versus who has the line share of the installed base. I think that's the first one, which is ongoing. The second one, which is ongoing, given that now there is two fundamentally different principles out in terms of tool on the market -- and both these two different principles by achieving excellent results and competing with each other on who is the best -- the customers are turning out both of these. They do so to say what Olivia was asking for, but they don't only want to get like some data or some PowerPoint, but they rather want to see it on their shop floor in production. So they have a look. And I think based on that look, we will then see how it comes out, which is then an overall decision based on the relevant competitive metrics yield throughput cost, the usual topics, but it's a technical competition, so to say. And as you heard, we feel very confident in taking on this competition.
Andrew Gardiner: Okay. That's clear. Thank you. And then just a clarification on the export licenses -- you mentioned other German companies facing. There's another one last night, so warning on it. But from your point of view, nothing has seen terms of the technical screening of the tool is purely of paperwork -- is that still the case?
Felix Grawert: Exactly. It's purely a topic around operational execution -- we hear that the team currently responsible for all of Germany is very small. So it's an operational issue apparently inside of the authorities. They lost some members. They have staffing issues. So they have a big backlog of stuff that needs to work down. We hear that from a large number of other equipment companies. Of course, we have reached out and consolidated discussed with our peers and on the other hand, we also know and hear that it's being addressed and after some time, it will be resolved. So we expect that at some point, we will be completely back to normal.
Andrew Gardiner: Thank you.
Operator: So the next question comes from Gustav Froberg from Berenberg. Over to you.
Gustav Froberg: Good afternoon, everyone. Thank you for taking mine also. I just have two, please. The first is around Q4 and I guess the start of 2024 as well. You mentioned that you're seeing strong order intake or at least expect strong orders in Q4 and that all of this is backed by specific customer projects. And could you share some light on what these customer projects are perhaps give us some examples. Just to back that up a little bit. And then I have a question on export licenses, which follows from the last question really, because, again, reading from other companies in Germany, elsewhere in the semiconductor supply chain saying that the authorities have increased their scrutiny and work starting from August this year. Is that something that you are seeing as well, or does this go hand in hand with the labor issue that you have outlined previously?
Felix Grawert: Thank you. First to the first question about what composition I took it, what is the composition of orders in Q4, I would call very simply more of the same kind of a bit like we have seen in the first quarter of the year. So we see the current trends are continuing, and I would not see -- we are not expecting a significant change in the mix and the composition of the order. More of the same, however, much more if we just add up the numbers, yes, to the full year numbers, of course. Now to the second question, I think you are referring to the press release that list was giving out, right? I think we all have read it. Yes, otherwise, you can find it on the website under the Investor Relations section. And this had a statement out there about what you were just referring to. I just assume that this is what you mean. So I explicitly refer to that document, which is in public space, which is at least some maybe you can hand it over to me, you have printed out here, which is they were saying that the authorities, the German authorities have intensified certain things for their tools. That situation is different for us. We have not experienced that the authorities have intensified the scrutiny. In our case, it is simply that whatever has been done already before now is taking longer. And on that one, we have investigated, and we have also found that with other companies, equipment companies, which are in the same situation like AIXTRON, so to say that it's the staffing issue with the bottleneck issue in personnel in the relevant department of the authorities that I was referring to. So yes, in terms of the delay, it's similar. However, in the root cause, the situation is a bit different from ours and that of many other equipment makers.
Gustav Froberg: Super. Thank you for clarifying. And it was exactly the passage I was referring to. So thank you for that
Felix Grawert: Sure.
Operator: The next question comes from Malte Schaumann from Warburg Research. The floor is yours.
Malte Schaumann: Good afternoon. First question also on silicon carbide. Do you see larger customers, major accounts potentially moving to dual source technology platform going forward, or if not, until when -- I mean, we are not that far away from when really technology decisions for a certain platform has to be made given the expected strong ramp from 2025 onwards or so. So until when would then be the time frame until customers could potentially take or have to make the decision to finally go with one vendor.
Felix Grawert: So I think silicon carbide is going to be, as we all are aware, a very high-volume business because in the end, we all are working to replace all combustion engines on this planet with electric energy preferably out of renewable sources, yes. So this is a big endeavor  meaning many, many fabs, many, many tools and many, many hundreds of millions of wafers being produced. So I think this is going to be a continuum of a ramp-up capacity build out over many years to come over the next year. I think, to put that upfront. So based on that, they will not -- we are not expecting there is the point in time and on this one, it's like a bit flip left or right, or between three or four vendors. We rather expect this is a multiyear opportunity and customers will unlock their volumes whomever they be most productive or maybe there's also a topic around supply chain risk mitigation. I think we just come from the COVID crisis, and we saw how difficult it can be if you're stuck with one vendor and that vendor can't ship. And so on I think it's just a very normal process, but I would not expect that it's the left or right, one winner gets all in this big silicon carbide market. And with that silicon carbide is very clearly different to highlight that also from other segments in the compound industry because the silicon carbide layer is a relatively simple layer, so you can qualify two different vendors or three or four or five, I don't know, yes, compared to other parts of the compound industry where you speak a very, very complex, very delicate vendor and just from the complexity also of your product portfolio, it's just not efficient to qualify multiple vendors.
Malte Schaumann: Right. Okay. And then on the order intake range you provided for the second quarter, I mean, this is a pretty large. Is that reflecting a great number of -- high number of projects, or is that dedicated to maybe just a few customers one or two will then make a decision for larger orders? So what will drive the order intake to the low end to the high end of the guidance?
Felix Grawert: So first of all, for the large range, well, our numbers have grown -- or our total number has grown, and we traditionally have towards the end of the year about the range is about 10% of the upper part. So if you look for all the last years, right, we typically had a 10% of the upper range so if you do the math this year, 10% from $700 million, that's the upper range, which we have out there would be 630. Now given that we left for those export stuff temporary topic -- timing topics, we left the revenue unchanged. We said, well, let's not change from 620 to 630, just a single number, but let's leave the range where it is, yes. So just on that one, yes. So it's just a larger number that you are used from us, which is the growth path that we are on and that we also we are planning to continue. Now for your question on the composition, this is not a single customer or a large order or a volume order, yes, kind of the one which makes it a Brexit is, in fact, a broad split of customers, a broad set of orders, multiple geographies quite well all over the place, which is also giving us the confidence that you hear from us on this call today.
Malte Schaumann: Okay. Got a quick one on the order backlog. I think a year ago, you had about EUR 50 million in orders that were dedicated for 2024. Do you expect more or less a similar number at year-end going then into 2025 or so that come down to the easing supply chain situation?
Felix Grawert: Backlog. Sorry, I think we are not sure we fully get your question.
Malte Schaumann: I think last year, you said from the €350 million in order backlog, you expected €300 to be delivered in 2023. So €50 million was scheduled for 2024. So will there be kind of a similar number than at the end of this year, scheduled for 2025, or is that going to come down to shorter lead times?
Felix Grawert: Honestly, I have to pass on your question. We would need to drill a bit into the numbers. And also I'm not sure. Christian, can you help?
Christian Danninger: Yeah. No, I mean, that would be too difficult to predict now, yeah, because, I mean, it depends then on what will the order back be at the end of the year, yeah, having the big ranges. And then on top of that, we have -- as you explained, the change in delivery times potentially next year, just too much variable to predict it.
Malte Schaumann: Okay. That’s great. Thanks.
Operator: And the next question comes from Simon Coles from Barclays. Simon, the floor is yours.
Simon Coles: Hi. Thanks for taking my question. I was just wondering on geographic mix, if we're seeing more of a shift to more either Western markets or a change as China has been coming down over the last couple of years. Whether we can continue to think that comes down because we've seen some press articles suggesting some other countries could be about to spend a lot of money on silicon carbide and even gallium nitride. So I was just wondering if you have any thoughts on that?
Felix Grawert: I think the product -- the geographic mix that you see, and I think you're referring to the fact that the composition of the share of Europe and US has been going up quite a bit. That's driven by our application mix. You have seen that I think year-to-date, we are around 80% from power electronics, donanlicon carbide. Traditionally, historically, game and silicon carbide so the power electronics is a domain of companies producing in Europe and the US, yeah, that's what we've seen continuing. And at the same time, we now see, and I think everybody sees in the market that also is companies, new entrants in other regions of the world and entering the domain for silicon carbide chip making for gallium nitride chip making. So I think when those projects get realized, we will also get for power electronics more diversified global distribution. I think that will drive just from the power electronics. And then I mentioned before, we're expecting a rebound, both of the Optoelectronics, but especially also microLED. And traditionally, the Optoelectronics, the optics, the LED industry, of course, had a strong footprint in Asia, in Taiwan, in Korea and China, not to forget so I think there will be clearly a rebound of those countries and the geographic mix over the quarters to come. When exactly where exactly too early to predict, yeah? But I would not extrapolate from the effect that you see right now.
Simon Coles: Okay. Very helpful. Thank you all.
Felix Grawert: With this, we will close today's call. I hope to see many of you on one of the upcoming conferences or events over the coming weeks and bye-bye.